Operator: Good morning. My name is Joel, and I will be your conference operator today. At this time, I would like to welcome everyone to the Entergy Third Quarter 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now turn the call over to Bill Abler, Vice President of Investor Relations for Entergy Corporation.
Bill Abler: Good morning and thank you for joining us. We will begin today with comments from Entergy’s Chairman and CEO, Drew Marsh; and then Kimberly Fontan, our CFO will review the results. In an effort to accommodate everyone who has questions, we request that each person ask no more than two questions. In today’s call, management will make certain forward-looking statements. Actual results could differ materially from these forward-looking statements due to a number of factors which are set forth in our earnings release, our slide presentation and our SEC filings. Entergy does not assume any obligation to update these forward-looking statements. Management will also discuss non-GAAP financial information. Reconciliations to the applicable GAAP measures are included in today’s press release and slide presentation, both of which can be found on the Investor Relations section of our website. And now, I will turn the call over to Drew.
Drew Marsh: Thank you, Bill, and good morning, everyone. Today we are reporting very strong financial results for the quarter, as well as important progress with a few recent announcements, including a settlement in principle with the Arkansas Public Service Commission on SERI litigation and an agreement to sell our gas distribution business. Starting with our quarterly financial results. Our adjusted earnings per share was $3.27. We experienced record temperatures with an estimated impact of $0.64, which has given us the opportunity to flex our spending plans to invest in key areas that benefit our customers, derisk 2024 and support our goal to deliver steady predictable results. With our results to-date and our biggest quarter behind us, we are raising the bottom of the guidance range by $0.10 per share. We remain well-positioned to achieve our long-term 6% to 8% growth outlooks. Our goal to deliver steady predictable growth includes our dividend. Consistent with expectations, our Board of Directors once again raised our quarterly dividend by 6% to $1.13 per share or $4.52 annually. Turning to the business update. Our system faced extreme heat and we saw record demand through July and August. In fact, they were 13 days that surpassed previous peak demand records. Despite the challenging weather, our system met our customer’s high expectations. Our power delivery team withstood June storms as the summer turned hot and dry for most of our service territory. Our generation portfolio covered our customer demand and we operated well within our reserve margins and our nuclear fleet was online throughout the quarter with a fleet capability factor of 99%. We continue to invest in our nuclear assets with the goal to operate safely and reliably well into the future. Two of our plants are currently planned outages to complete work along these lines. Waterford 3 is an extended planned refueling outage that includes significant investments to drive plant longevity. In addition, we advanced in a planned outage to complete minor repairs to improve reliability going forward. We are also investing in power delivery to improve reliability and resiliency. These investments not only benefit existing customers but also attract new economic development through our region. Through the first three quarters of this year, we replaced approximately 21,000 distribution poles placed nearly 1,500 new transmission structures in service and completed 15 new substations. Our past investments in modern efficient generation units, our nuclear fleet and our power delivery system helped us meet this summer’s number of demands. We continue to see signs of strong customer growth that helps affordability by spreading fixed costs over a larger customer base. For example, First Solar announced plans to invest up to $1.1 billion to build the solar manufacturing facility, CF Industries is proposing a $2 billion low-carbon clean ammonia production facility and Cora is proposing an $800 million investment in two electric vehicle battery supply-chain projects. These are just a few of the projects to support our expectation for strong growth in the coming years. We have made meaningful progress on important regulatory matters which support the credit required to meet customer’s growing needs and to drive improved customer outcomes. First, System Energy reached a $142 million global settlement in principle with the Arkansas Public Service Commission to resolve all current SERI claims. Entergy Arkansas has already received some funds and the remaining amount will be refunded by SERI once FERC approves the settlement. This agreement is consistent with SERI’s settlement with Mississippi which was approved by FERC. It is also consistent with the reserve recorded last year. With this latest settlement, SERI has now resolved nearly two-thirds of its litigation risk. The SERI settlement follows FERC’s August order on rehearing for the sale leaseback renewal and uncertain tax position case. In that order, FERC agreed with System Energy’s arguments on the sale leaseback and depreciation refund calculations and denied rehearing requests on the uncertain tax positions. Accordingly, we submitted our compliance report on the sale leaseback and SERI has recouped $40 million of the amount previously paid to Entergy New Orleans and Entergy Louisiana. Shortly after 1st August order, the LPSC filed for rehearing and clarification. FERC denied the rehearing by operation of law and indicated intends to issue an additional order on this matter. We believe that the August order and settlement with Arkansas provides important clarity that will help guide constructive discussions to resolve the remaining SERI litigation matters. A fair and reasonable settlement can provide meaningful refunds to customers in the near-term and eliminate uncertainty which itself brings further benefits to customers. Turning to retail matters. Entergy New Orleans’ new formula rates were approved by the City Council and went into effect in September. This is the last rate change under E-NO’s current FRP. In addition, the Council also approved Entergy New Orleans’ request to extend its FRP for another three years. The outcome provides regulatory clarity for Entergy New Orleans and includes enhancements that will support the company’s credit and by extension, its ability to make important investments for its customers. Entergy Louisiana, likewise, has new formula rates effective in September, it’s last rate change under its current FRP. In the third quarter, Entergy Louisiana also filed its rate case and alternatively proposed to extend its FRP with some revisions to provide an opportunity to earn a fair improved return on investment that is critical to support the Louisiana growth. The proposal also includes new customer and community programs to support those in need. We prefer the proposed FRP renewal to the rate case as it better supports the strong growth that is important to Louisiana. Regardless of the past, our goal is to maintain the current cadence with new rates effective next September. In late breaking news at the LPSC yesterday afternoon, we filed an unopposed stipulated settlement to resolve outstanding 2017 to 2019 formula rate plan filings and certain issues in the 2020 and 2021 filings. This settlement, which requires LPSC review is consistent with our outlooks and it represents continued work with our stakeholders to provide clarity on our path forward. Separately, Louisiana’s docket to implement a streamlined process for certification of up to 3,000 megawatts of new solar is also progressing. Staff testimony is supportive of enhancing the process and we will work with them to incorporate the perspective. It is still relatively early in the process and we are hopeful that we will ultimately reach a constructive settlement as part of our ongoing efforts to work collaboratively with our regulators to bring clean energy solutions for our customers. In Texas, the PUCT approved our rate case settlement. New rates, as well as new depreciation and amortizations are effective retroactive to December 2022. And also just yesterday, Entergy Arkansas filed the unanimous settlement with its annual FRP. That allowance for a rate change with a 4% cap. We expect the commission to take up the matter before year-end and new rates will be effective in January. Last week, Entergy Arkansas agreed to forego cost recovery from the state or incidents in 2013. As a result, this quarter, Entergy Arkansas wrote off replacement power costs for an underappreciated plant through on its balance sheet. This has been a long-standing issue and this resolution provides clarity moving forward. Finally, regarding resilience. We continue to move forward in the processes to review our accelerated resilience proposals. In New Orleans, we are holding town hall meetings to listen to our stakeholder’s inputs and answer their questions. We are targeting a City Council decision by year-end. In Louisiana, we received input from a staff engineer, as well as staff and interveners. All parties agree that accelerated resilience would benefit customers. There are however varying opinions on how much we should pursue right now and the timing, as we work together to manage customer affordability. Our focus remains on bringing as much value to customers as we can while maintaining the credit of the business. We have significant capital needs to meet our customer’s growing demand for reliable, resilient and clean energy. To that end, we are pursuing opportunities to source that capital at lower costs. On Monday, we announced an agreement to sell our gas distribution business for $484 million. We will use the proceeds to reduce debt and support our capital needs. The sale is expected to be essentially neutral to earnings. While the gas business is a relatively small piece of our overall utility business, the more than 200 employees in that business are an important part of Entergy’s community and culture as they have been for over 100 years. We have reached agreement with Bernhard Capital Partners, a Louisiana-based group and part because they understand that these employees are critical stakeholders in the gas business. In addition, our customers will continue to receive the high level of service that they have come to expect. The transaction is contingent on regulatory approvals and we anticipate closing around the third quarter of 2025. Federal programs are another cost effective way to source capital. We are pursuing both grants and loans through various programs. For example, under the Grid Resilience and Innovation Partnerships or GRIP program, each of our operating companies submitted applications. We are pleased to report that the proposal from Entergy New Orleans was selected in the federal share of the $110 million system hardening and battery microgrid project will be $55 million. While four of our projects were not selected, they did receive encouragement letters and we are able to reapply for future funding rounds. We are also preparing to apply for federal loans through the DOE titled 17 Clean Energy Financing Program. Our application will include projects that we are already planning, including renewable generation, battery storage and transmission projects. Beyond federal financing directly for our customers, we are working with our community partners to attract other federal support for investment in our region. A good example is Louisiana’s Hero Project that unites public-private and philanthropic sectors to accelerate more affordable, reliable and clean energy to protect residents of Louisiana from climate change threats. Entergy Louisiana and Entergy New Orleans were both critical team members in helping Louisiana secure the $500 million award. Another example is Entergy Texas’ participation in the high velocity hydrogen hub, which was selected by the deal with DOE for $1.2 billion award. This funding will help jumpstart additional clean energy production transportation and end-use opportunities which in turn will create jobs and economic activity and our communities. Entergy Texas could see additional load from blue and green hydrogen customers as a result. Most of our community work is local boots on the ground, including economic developments. Our teams work alongside our state and local governments to attract new business, jobs and tax base to our service area. We are honored that Site Selection magazine has once again recognized Entergy as a top utility for economic development. We also have programs to directly help our customers in need. With the extreme heat this past quarter, we stepped up our efforts to provide resources for bill assistance, provide education on energy efficiency, a range of payment plans and encourage customers to transition to levelize billing. We also hosted our first Power Your Future Summit with education and workforce partners across our service area to create pathways to employment for individuals from underrepresented communities. These are just a few examples of the tremendous work our utility companies and employees put toward our community stakeholders every day. The EEI Financial Conference is just a couple of weeks away. The fundamentals underpinned -- underpinning our growth and value creation for each of our key stakeholders remains intact. Our long-term sales growth outlook is robust, bolstered by the IRA. Our investment plan includes incremental capital to support the growth and other customer objectives including reliability, resilience and clean energy investments. Customer affordability remains a priority and we are actively pursuing continuous improvement efforts to expand our employee skills and capabilities, and using technologies like artificial intelligence and robotic process automation to help us maintain a generally flat O&M trajectory despite the inflationary environment and our incremental investments. While our capital plan is increasing, we have a plan to manage within the current financing environment that meets our credit objectives with the same level of equity we laid out at Analyst Day. With all of that, we are on track to deliver steady, predictable earnings and dividend growth and steadily working to build the premier utility. We look forward to continuing this conversation with you at the EEI Financial Conference in a couple of weeks. Now I will turn the call over to Kimberly, who will review our financial results for the quarter.
Kimberly Fontan: Thank you, Drew, and good morning, everyone. As Drew said, we have had a very strong quarter with results to keep us on track to meet our financial commitments. Summarized on slide three, our adjusted earnings were $3.27 per share, with results to-date, we are narrowing our guidance range. We are also affirming our 6% to 8% adjusted EPS growth through 2026. Slide four details the quarter’s variances by line items. As Drew mentioned, weather this quarter was one of the hottest on record. Excluding weather, retail sales volume declined roughly 1%. For industrial, sales to new and expansion customers increased mainly in the primary metal, industrial gases and petrochemical sectors. Sales to Cogent customers were lower in the quarter. You may recall that Cogent sales were elevated last year. Sales to existing large industrial customers often have declined, primarily in the petrochemicals, pulp and paper and agricultural chemical sectors, largely due to outage timing. We continue to expect strong industrial sales in the fourth quarter from new and expansion customers, which will bring the full-year industrial growth to close to 2%. Regulatory actions positively affected results. Entergy Texas implemented new base rates and new formula rates were in effect at the other operating companies. O&M was $0.12 lower compared to last year. Drivers for the decrease were nuclear expense, including lower outage costs and compensation and benefits, comps. MISO ancillary generator service costs were also lower. This was largely offset by the lower generated ancillary revenues. Other drivers for the quarter results included expense increases that result from our customer-centric investments, primarily higher interest cost and depreciation on new assets. New depreciation rates for Entergy Texas also contributed. Operating cash flow is shown on slide five. The quarter’s results is $1.4 billion, which is $412 million higher than last year. Key drivers included the timing of fuel and purchase power payments, lower O&M spending and last year’s EWC severance and retention payments. These were partially offset by lower utility customer receipts due to lower fuel revenue and the timing of pension contributions. Turning to credit and liquidity on slide six. Net liquidity remained strong at $4.9 billion. With less than a quarter left, we remain squarely on track to achieve credit metrics at or above target ranges by the end of this year. Key drivers include debt repayments in the fourth quarter and the roll-off of FFO items from fourth quarter of 2022. Looking at slide seven, our equity needs through 2024 are unchanged. We have a small amount remaining for that period that is well within the capacity of our ATM program. Slide eight summarizes our adjusted EPS outlook. As I mentioned earlier, we are once again narrowing our guidance range and affirming our long-term 6% to 8% growth outlook through 2026. As we move into the last quarter of the year, I’d like to highlight a few updates for the balance of the year. Higher than planned revenue from weather gives us the ability to flex up spending in areas that benefit our customers and derisk future periods. Our full year O&M estimate reflects the impact of these flex spending levers. For example, our 2023 spending now includes additional maintenance expense as a result of our generating units running at very high capacity, incremental vegetation management to improve reliability, supplemental maintenance for transmission and distribution assets to improve reliability and bill assistance to help customers who need it. Our FLEX program helps us ensure that we deliver steady, predictable, adjusted EPS growth, year-in and year-out. The Entergy management team will be in Phoenix in less than three weeks, where we will discuss the progress we have made on our long-term growth strategy and provide preliminary three-year capital and financing plans. Additionally, we will provide high-level consideration for 2024’s earnings expectations. We have a strong base plan consistent with our strategic objectives that support our growing customer base. We are excited about the opportunities before us and look forward to talking to you at EEI. And now, the Entergy team is available to answer questions.
Operator: [Operator Instructions] Your first question comes from the line of Shar Pourreza of Guggenheim. Your line is open.
Shar Pourreza: Hey, guys. Good morning.
Drew Marsh: Good morning, Shar.
Shar Pourreza: Good morning. Hey, Drew. Just a question on the 2023 earnings and the 2024 assumptions building up. Obviously, you now have $0.48 of positive weather impact versus normal for the year moving up the bottom end of the range which you talked about by $0.10. I guess, what other offsets are you now embedding in the 2023 guidance and do you see any carry-forward benefits to 2024 specifically, maybe commenting on your O&M assumption going from $0.85 to $0.20 for year-over-year? How much of the difference quarter-over-quarter as reinvestment for the benefit of 2024? Thanks.
Kimberly Fontan: Sure, Shar. Thanks for the question. As you noted, we did have significant weather that enabled us to pull forward some O&M spending. Some of that is, as I noted, related to that vegetation management spending that is coming into 2023. There’s also been additional spending in the transmission and distribution space around maintenance on those assets. All of that does help derisk 2024. And then we did have this higher spending in 2023 in the third quarter and a flow a bit into the fourth quarter as we continue to maintain a unit for Drew mentioned that ran so well to support these higher volumes. So all those help contribute to that change in the O&M space and that’s help derisk future periods.
Shar Pourreza: Okay. Got it. And then just, I guess, in light of just the asset sale announcement you guys did on the gas side. I guess, why keep the reiterated equity need, especially as we are thinking about 2025 and 2026, and does a CapEx step up require incremental equity, there as we are heading into EEI? Thanks.
Kimberly Fontan: Sure. The gas sale does help support the incremental capital that Drew mentioned going into our 2025 and 2026 outlooks. We also have strong sales that support that and we do not have the incremental equity in that period and supported by those two items, and we will go through more details of the financing plan for that at EEI in a couple of weeks.
Shar Pourreza: Okay. Perfect. And then just lastly on this on the SERI complaints proceedings. I mean, obviously, you noted the settlement in principle in Arkansas, but the debate has been somewhat confrontational especially as we are thinking about Louisiana. What was the impetus of the settlement and for Arkansas and do you guys think it’s sort of repeatable with the other jurisdictions? Thanks.
Roderick West: Well, good morning. It’s Rod. The impetus...
Shar Pourreza: Hey, Rod.
Roderick West: The impetus. Good morning. The impetus for the timing of the settlement I think stemmed from the August FERC ruling that in our view lowered the risk of uncertainty around further refunds due from the uncertain tax position and sale leaseback. So it was an opportunity for us to revisit negotiations, given the clarity from an August -- mid-August decision.
Shar Pourreza: Got it. And then just how do you think the read-through, I guess, to the didn’t -- I guess, Louisiana for sure.
Roderick West: Yeah. From our advantage point. We view it as constructive. Obviously, we won’t talk about comment on specific timing or progress with Louisiana or New Orleans, but we are comfortable saying we remain inactive in pursuit of settlement under the -- under similar terms with the point being, obviously, as long as we are able to reach constructive settlements that’s fair and reasonable and certainly consistent with the way in which we approach that Arkansas and Mississippi. We think we have a fair shot, but obviously, we did the counterparties to align with us and that’s the work that remains.
Shar Pourreza: Perfect. Thanks. Thanks, guys. Appreciate it. Thanks, Rod.
Operator: Our next question comes from the line of David Arcaro of Morgan Stanley. Your name -- your line is open.
David Arcaro: Great. Good morning. Hey, Drew. Hey, Kimberly. Hey, Rod.
Roderick West: Good morning.
Drew Marsh: Good morning.
Kimberly Fontan: Good morning.
David Arcaro: Thanks for taking my questions. I am wondering if you could elaborate a bit on what you are seeing in the industrial sales backdrop. Just seeing the weather normal sales down for this quarter. What are you seeing in terms of activity around projects and major industrial customer expansions that they have been working on?
Kimberly Fontan: Yeah. Big picture, David. As I noted, we are seeing, we continue to see a strong pipeline around new and expansion customers and Rod can talk on that, more specifically. For the quarter, we had some outages in our existing customers that drove to what our results are our year-to-date and our pipeline continues to be strong.
Roderick West: Yeah. The short story there is that the pipeline of projects to your question has continued to grow. We will provide a little more insight around that at EEI, but our confidence in our growth prospects are reflecting the actual growing number of projects of customers coming into service territory. So robust is the operative word there.
David Arcaro: Okay. Got it. Thanks for that. And so at the end of the day no change to your projections in terms of what you had been expecting industrial sales growth to look like going forward?
Roderick West: That is correct. No change.
David Arcaro: Okay. Okay. Thanks. And then, I was wondering, if you could just comment on your competitiveness in renewable RFP, just any progress there. Thinking ahead to the potential opportunity in Louisiana with the enhanced renewable RFP three gigawatts. Just how are you situated as that comes closer?
Kimberly Fontan: Yeah. The pipeline continues from our perspective on our solar self-development continues to develop well. We have developed the capabilities to be competitive in that space and we are continuing to plan to support customer growth and desire for clean energy in the renewable space, as well as other clean energy they may warrant, but our team is continuing to ramp up and continuing to be quite competitive in that space. So we are excited to see that and see that support our customer’s growth.
David Arcaro: Okay. Perfect. Thanks for the color. I appreciate it.
Operator: Our next question comes from the line of Jeremy Tonet of JPMorgan. Your line is open.
Jeremy Tonet: Hi. Good morning.
Drew Marsh: Good morning, Jeremy.
Jeremy Tonet: Just wanted to follow up on the U.S. Gulf Coast industrial activity, if I could. Just curious, I guess, in your investor conversations or do you feel the market fully appreciates given where WTI has moved up versus relative to gas and what the spread is on a BTU basis for oil and oil byproducts versus gas and natural gas byproducts? How much of a material advantage that is for the U.S. Gulf Coast, both as a feedstock for the petchem industry, as well as power cost for industrial businesses down there, and I guess, the very long multiyear trend of growth that could underpin?
Drew Marsh: Yeah, Jeremy. Those economic indicators or things that we track closely. As you mentioned they are important to some of our industrial customers. Both the spread between natural gas and some of the oil products, those -- that as you pointed out have widened out and are very supportive of the Gulf Coast here, particularly as European gas prices have gone up in the last month or so, as everybody knows. So that has made. It’s continuing what we already know. It’s a big macro trends around global geopolitical uncertainty and that has led to as you continue to be the case broken global supply chains and that brings a lot of investments in the U.S. when they look at the U.S. and the Gulf Coast. So whether you are talking about geographic spreads or commodity spreads. They are all very-very strongly supporting our industrial customers in the industrial growth along the Gulf Coast, and in particular, in our service territory.
Jeremy Tonet: Got it. Very clear. Thank you. Maybe just following up on some of your prepared remarks there with New Orleans, Louisiana resiliency filing comments. You mentioned that they are bearing options and opinions as how to -- how much resiliency to do right now. Any sense as to how much variability you could see in the outcomes of these filings, other than affordability concerns, what are the other kind of big moving pieces here that are involved in these resiliency discussions?
Roderick West: It’s Rod. If you recall there were two primary areas, where we got initial feedback. One was a staff engineer and the other was the commission staff. We had strong alignment on the need for resilience. So we are not arguing about whether or not this is something we ought to be doing. There were two dynamics around the staff testimony that I think is instructive. One was they referenced their support for rider recovery for retired assets. That gave us a lot of comfort that we could come to a constructive resolution once we sort of decide the scope and they also recommended transparency and accountability features. But I think the work really for us is going to continue to align around scope, pace and ultimately cost. When we ultimately decide on what could be a solid outcome, our objective is making sure on the back end that the recovery mechanism continues to support credit and our access to capital, but those sort of swim lanes are where the lion’s share of the debate is going to be as the commission will rightfully be looking to answer the resiliency bell, but around affordability for customers.
Jeremy Tonet: Got it. That makes a lot of sense. Just one last one if I could. Given that you have reaffirmed your 6% to 8% EPS CAGR through 2026 in line with the Investor Day commentary. Is it reasonable to assume rate base growth will also continue at a similar 7% to 8% CAGR through 2028? How would accelerated resiliency impact this similarly would how higher renewables win rate impact this? On the other side of the coin, do you see pressures against this, such as FRP taps as far as inflation is concerned, just trying to see both sides, how you see this playing out?
Kimberly Fontan: Sure. The rate base we would expect to continue to grow consistent with growing capital investment as those investments are made to support our customers and the objectives that we have to support them. From a pressure perspective, certainly, there are opportunities for additional capital around resilience. For example, we have assumed base level of resilience as we have discussed previously, but with accelerated mechanisms. For example, there is more resilience that could be placed, and if customers are interested in renewables at a faster pace that certainly could be additional capital that would drive additional spending as well and then it really is about making sure that we are supporting our customer’s growth and continuing to provide them with services and the reliable power that we offer.
Roderick West: And I will just add that as we get to EEI, we planned some additional disclosures around that potential capital increase above what we already have.
Jeremy Tonet: Got it. Thank you for that. Just real quick, the FRPs, any issues as far as caps against inflation that are something that we should be thinking about?
Kimberly Fontan: Jeremy, we pay attention to customer affordability and we certainly monitor the caps that we have to make sure that we are making investments that are staying within affordability for our customers. So that we have had constructive regulatory mechanisms in all of our jurisdictions and continue to expect to have that as we go forward.
Drew Marsh: And we always are talking about our continuous improvement efforts. Those are the things that help us manage against things like inflation and it is been a tough bear in the last couple of years. But we do believe that we can really hold the line, as I mentioned in my remarks, against inflation and all the other capital that we are putting to work, which also drives costs or can drive costs as well. So that’s our objective. So we don’t see it impacting our rates as much as just all the incremental investment really is.
Jeremy Tonet: Understood. Appreciate the time. Thank you.
Operator: Our next question comes from the line of Paul Zimbardo of Bank of America. Your line is open.
Paul Zimbardo: Hi. Good morning. Thank you, team.
Drew Marsh: Good morning.
Paul Zimbardo: And first of all done on the latest series settlement progress. Very nice to say. And I was hoping, I could kind of merge Dave and Jeremy’s question and kind combine. What’s the quantum of incremental capital opportunities across the renewable efforts, as well as the hardening and resiliency programs, I know there’s been a lot of numbers and timeframes, just if you could help kind of frame the opportunity set, relative to the outlook would be helpful?
Kimberly Fontan: Yeah. Paul, we will get into all the specifics at EEI, I don’t have the details in front of me, but there is. I think we have talked historically about $900 million of resilience in the base and then incremental resilience on top of that. That’s available and assuming we get or when and if we get accelerated recovery, but looking into all the specifics on the puts and takes around capital in a couple of weeks.
Paul Zimbardo: Okay. Great. Thanks. And eagerly anticipating EEI a bigger update. And then the other one, just on Louisiana with the rate case/the FRP extension. Is this the kind of major proceeding that you think needs to be more fully litigated or is that a settlement and opportunity there?
Drew Marsh: Yeah. From our advantage point, a settlement is one an opportunity and two desire. But to be specific, a settlement in favor of continuing on with the FRP regime provides clarity for both us and customers, and certainly, promotes certainty around recovery, given the growing investment needs to support growth in Louisiana. And certainly, a smoother transition as we began to pick up on the putting capital to work for both resiliency and to fund the growth. And so from our advantage point, having the flexibility that FRP provides for both us and our customers and regulators is the optimal outcome there and avoiding the litigation certainly is an expense to our stakeholders of litigating a rate case is something we have as stakeholders who have chosen to avoid in Louisiana. So, yeah, the FRP is definitely the path that we are working towards.
Paul Zimbardo: Okay. Understood. And then to clarify quickly just setting expectations on timing, should we think about the settlement potential after the intervenor testimony? I think March 26 of next year or could we potentially see something faster than that?
Drew Marsh: Yeah. It’s a great question, but I think it’s a little early for us at this point to deem the feedback to be meaningful around timing, because discovery really has just gotten underway and we had a procedural order that was said last week that I think set the hearing for August of next year. A couple of things that might be helpful, as you think about milestones in the coming months. The procedural schedule set forth technical conferences in December, January, February. I think that framework, those technical conferences will give some insight as to the initial positioning of the parties and give us then some daylight as to the path forward around potential settlements.
Paul Zimbardo: Okay. Great. No. Thank you. That’s very helpful. See you at EEI.
Drew Marsh: Indeed.
Operator: Our next question comes from the line of Michael Lonegan of Evercore. Your line is open.
Michael Lonegan: Thank you. Good morning and thanks for taking my question. So on utility O&M outlook for the year, you talked about going forward spending to derisk 2024, you highlighted some of the categories. Presumably also, given the record temperatures and peak demand you had to spend more O&M for additional work crews and overtime pay to maintain reliability given the stress on the grid. Just wondering if you could break out how much of that spending was pull forward to derisk versus the amount to maintain reliability on your grid?
Kimberly Fontan: Thanks, Michael. You are right. We did have to spend more to support the hot summer and the volumes and the power gen team performed really well. I don’t have the breakout specifically between that piece, as well as the pull forwards. But, certainly, we have been able to pull forward significant spending around reliability in the transmission and distribution space and in the vegetation space as well.
Michael Lonegan: Okay. Great. Thank you for the color. I will see you at EEI.
Drew Marsh: Thank you.
Operator: Our next question comes from the line of Anthony Crowdell of Mizuno, sorry, Mizuho. Your line is open.
Anthony Crowdell: Yeah. Thank you. I think Mizuno sounds very good. Excuse me, just on, I guess, two quick ones. Approval of the gas system sale. I think your guidance like the 3Q 2025 close, it’s almost two years. Just curious on the length, what causes that long closure, any important milestones along the way, which keep an eye for it?
Roderick West: Yeah. It’s Rod. The experience we have and certainly the advice of additional stakeholders suggested that process given the fact that you have both the Louisiana Public Service Commission, the Northern City Council and the Baton Rouge Metro Council, all having a partner process, gives us an outlook of 20 -- 18-months to 21-month timeframe. And that’s really what sort of set our expectations. That’s not any singular jurisdiction. It’s just the process of getting those approvals and if we are able to do something sooner, then clearly we would be working to achieve that objective.
Drew Marsh: Yeah. I will just add that our buyer is new to this particular business and while all the operations and everything is all going to be good to go and transfer right over. They do need to -- we are going to work with them to set up some of the back-office pieces of this and that might take a little bit longer than it normally would if it was a strategic buyer, for example.
Anthony Crowdell: Got it. And then, I guess, I appreciate the clarity you guys have given on SERI and progress we made earlier this week. But just -- and I know we don’t want to just think the negative outcome, but if the company continued to struggle with Louisiana and New Orleans. Is there a period of time that management would just maybe view that when you look at the book value of SERI versus maybe what the liability could be if, Louisiana, New Orleans, sold out? But they would just look it may be ending the venture. I am just curious if like trying to maybe gauge like how long until just management as we tried really hard in [Technical Difficulty] given up on the weaken borrowing.
Drew Marsh: Well, I mean, I will tell you is, I mean, I think that, we are always looking at every potential outcome and options. So that is always part of the calculation. But at this point, we think we have made good progress with the settlement in Mississippi and then now the settlement in Arkansas, such that it derisks roughly two-thirds of the overall exposure there. So we feel like we are making good progress in that. We don’t really need to go down that particular path at this time. But that is something that we are always paying close attention to and looking at various options and so that’s something we will keep considering in the future.
Anthony Crowdell: Great. Thanks for taking my question guys. Appreciate it.
Drew Marsh: Thank you.
Operator: Our next question comes from the line of Nick Campanella of Barclays. Your line is open.
Nick Campanella: Hey. Good morning. Thanks a lot for taking the time. Just one for me today, a lots been answered. But on the credit, I think, you are doing 12.4% trailing 12 month and you are obviously signaling you can get back to the 14% by year-end and within the appropriate minimum. Can you just confirm that’s more just lapping and roll-off of items and there’s nothing else required from the regulatory standpoint of approval for the point?
Kimberly Fontan: Sure, Nick. That’s right. The -- there is a significant amount of debt that will roll-off in the fourth quarter. A large part is related to Louisiana’s securitization from earlier in the year and then there are some items from the fourth quarter at 2022 including the Mississippi settlement with SERI, that was paid out in November that will roll-off in the 12 months ended 2023.
Nick Campanella: Thanks.
Operator: Our next question comes from the line of Ryan Levine of Citi. Your line is open.
Ryan Levine: Hi, everybody. What jurisdictions do you see having the biggest opportunity for incremental resilience spending and does the current equity issuance plan have a built-in buffer for some of this CapEx upside highlighted already in the call?
Kimberly Fontan: Thanks, Ryan. As you know, we have opened filings in New Orleans and Louisiana. On Louisiana between those two has much more spending than New Orleans does. So we also anticipate filing in Texas in 2024, as commission rates the rules coming out of the legislature. As far as the equity in the amount of investment, we have assumed a base level of investments associated with resilience and depending on what is approved out that we will be looking at how to finance that. But we have a significant amount of capital in our plan, including that base level of investments. So more to come as those decisions come out of the jurisdictions.
Ryan Levine: Appreciate it. Thank you.
Operator: Our next question comes from the line of Paul Patterson of Glenrock Associates. Your line is open.
Paul Patterson: Good morning.
Drew Marsh: Good morning, Paul.
Paul Patterson: Just finally with, most of my questions been answered, but with respect to the SERI leaseback litigation. Congratulations on the settlement and stuff, but if Louisiana, I guess, I am wondering is, from a fully litigated perspective when we get closure on as if this -- if there isn’t a settlement I guess with Louisiana.
Drew Marsh: I want to make sure I am understanding the question. Is the question when would we likely get settlement in Louisiana on the remaining issues that.
Paul Patterson: I guess, look, I guess, I mean, I am not asking you to predict that. I think if you sort of answered that. I guess what my question was, if there isn’t a settlement, how long this litigation, when would you expect the litigation…
Drew Marsh: Yeah.
Paul Patterson: … to come back to fruition.
Drew Marsh: Yeah. It’s a bit long there. If you think about this the FERC process. Addressing those remaining issues could take you well two-plus years and it goes back to what we were suggesting around why we are continuing to pursue settlement and the opportunity to provide benefits and value to customers sooner rather than later and a settlement provides both us and now potentially Louisiana and New Orleans the opportunity to do that versus the uncertainty that comes with the couple of years or so before there’s any resolution.
Paul Patterson: Okay. Great. Thanks for the clarity.
Drew Marsh: Yeah.
Roderick West: And just to say, full resolution on any resolution, because we have…
Drew Marsh: Full resolution. That’s right Paul. Thank you.
Operator: Our next question comes from the line of Travis Miller of Morningstar. Your line is open. Travis, perhaps, your line is unmuted. There are no further questions at this time. Mr. Abler, I will now turn the call back over to you.
Bill Abler: Thank you, Joel, and thanks everyone for participating this morning. Our quarterly report on Form 10-Q is due to the SEC on November 9th and provides more details and disclosures about our financial statements. Events that occur prior to the date of our 10-Q filing that provide additional evidence of conditions that existed at the date of the balance sheet would be reflected in our financial statements in accordance with Generally Accepted Accounting Principles. Also as a reminder, we maintain a webpage as part of Entergy’s Investor Relations website called Regulatory and Other Information, which provides key updates of regulatory proceedings and important milestones on our strategic execution. While some of this information may be considered material information, you should not rely exclusively on this page for all relevant company information. And this concludes our call. Thank you very much.